Operator: Greetings, and welcome to Mytheresa Third Quarter Fiscal 2022 Earnings Conference Call . Today's call is being recorded and we have an allocated 1 hour for prepared remarks and Q&A.  It is now my pleasure to introduce your host, Martin Beer, Mytheresa's Chief Financial Officer. Thank you, sir. Please begin.
Martin Beer: Thank you, operator, and welcome, everyone, to Mytheresa's investor conference call for the third quarter of fiscal year 2022. With me today is our CEO, Michael Kliger. Before we begin, we would like to remind you that our discussions today will include forward-looking statements. Any comments we make about expectations are forward-looking statements and are subject to risks and uncertainties, including the risks and uncertainties described in our previous annual report. Many factors could cause actual results to differ materially. We are under no duty to update forward-looking statements. In addition, we will refer to certain financial measures not reported in accordance with IFRS on this call. You can find reconciliations of these non-IFRS financial measures in our earnings press release which is available on our Investor Relations website at investors.mytheresa.com. I will now turn the call over to Michael.
Michael Kliger: Thank you, Martin. Also from my side a very warm welcome to all of you and thank you for joining our call today. We will today comment on the results and performance of our third quarter of fiscal year 2022. Our business has shown excellent strength and resilience. We are pleased that Mytheresa delivered very solid results and continued profitability despite the impact of external challenges. We outlined last time the delays in spring/summer deliveries from the third quarter into the fourth quarter, thus also moving the corresponding revenues from the third into the fourth quarter. But unfortunately, there were additional and totally unexpected external shocks in the third quarter. We saw in March a strong rise of COVID infections in Asia shutting down public life. Even more tragic and totally unexpected was the outbreak of war in Ukraine at the end of February. This had a temporary negative impact on consumer sentiment in Europe. Despite all this, Mytheresa delivered very solid results and continued profitability in the third quarter of fiscal year 2022. I want to leave you today with 3 key messages allowing you to have a clear view on the strength and health of our business. First, the fundamental drivers for continuous growth for our business remain all in place, mainly the shift of luxury consumers to online shopping as well as untapped geographic and category growth potential for our business. All of this supports our belief in a long-term growth trajectory of 22% to 25% annually. Second, despite the challenges in the third quarter we have produced excellent results and KPIs demonstrating our customer excellence which is driving customer loyalty and sector-leading profitability. Third, the first weeks of the fourth quarter fuel our confidence to remain the best partner of choice for luxury designer brands to engage with our high value multi-brand customers and for a speedy passing of the external shocks. Therefore, we have full confidence to deliver a solid fiscal year at the low end of our guidance. Let me now comment in more detail on these 3 key messages for today. First, in the third quarter, we grew our gross merchandise value by 13.2% compared to Q3 of fiscal year 2021. Our continued growth momentum compared to extraordinary strong growth in Q3 fiscal year '21 is evidenced by the consistent high 2-year growth rate in GMV of 67% in the third quarter of fiscal year 2022 over Q3 of fiscal year 2020. We had a very good number of new customers in the third quarter with over 110,000 first-time buyers shopping with us. We combined the growth once again with a strong gross margin so our growth was driven by consumer demand, not by promotional intensity, which we have seen break out in some markets with some players recently. Again, I would like to remind everyone that luxury is still lagging in online penetration. It is estimated by Bain and Altagamma that still only 30% of personal luxury goods spend will be online by 2025. This would be nevertheless a global online market of EUR110 billion of which at least 30%, over EUR33 billion, is estimated to be captured by multi-brand fashion platforms of which we believe we are the clear leader. The long-term growth potential and our continued long term guidance of 22% to 25% annual GMV growth is of course also supported by regional expansion and category expansion in addition to share of wallet penetration of customers. United States showed again the highest growth for Mytheresa with 41.6% of growth in GMV compared to Q3 of fiscal year 2021. U.S. accounted for 16.4% of our business in the third quarter compared to 13.1% in the third quarter of fiscal year 2021. We continue to see strong demand of luxury consumers particularly from states like Florida or Texas. Logically, we have therefore focused our activities in these states in the third quarter with high impact customer events such as the physical pop-up and dinner in collaborations with Vogue in Palm Beach and a shopping lunch hosted by a local brand ambassador for us in Dallas. People are spending their disposable dollars on unique and special pieces and are dressing up. We saw it clearly at our recent party in Miami hosted together with Domenico Dolce to celebrate the upcoming launch of our exclusive capsule collection of Dolce & Gabbana only available at Mytheresa. While mainland China was of course impacted by the unfortunate return of COVID outbreaks, we grew again by over 25.9% in GMV compared to Q3 of fiscal year 2021. We continue to pursue our long term aspiration of being the best destination for luxury multi-brand wardrobe shopping in China. As part of the strategy, we launched our flagship store on JD.com in the middle of March. This is not just to generate short-term revenue growth, but rather longer term customer awareness and trust. We believe that JD.com provides a good environment for this approach also evidenced by the recent announcements of brands such as Louis Vuitton, Givenchy, Loire, Dior and Bulgari to open a presence on JD.com. From a category perspective, we see continued success with our new categories of kidswear and menswear. In the third quarter, our kidswear business grew by 21.9% in GMV compared to Q3 of fiscal year 2021 and accounted for 3.4% of our total business, making us a global leader in luxury kidswear. In the third quarter we also launched a very successful beauty pop-up with French plant-based skincare brand Sisley which was accompanied by a 360 degree marketing campaign. The campaign included a video featuring 3 generations of the founding family, digital beauty sessions and a high caliber lunch hosted by Christine d'Ornano during Paris Fashion. Please see our investor presentation for more details on the Sisley campaign. In addition, I'm delighted to announce our entry into a full range of luxury lifestyle products as a new additional category in May of 2022. All of the above gives us full confidence to deliver multiyear annual growth of 22% to 25% for our business. Despite the challenges in the third quarter we have produced excellent results and KPIs demonstrating our customer excellence, which is driving customer loyalty and sector-leading profitability. Based on our excellent relationships with brand partners, we were again able to produce impactful digital content and campaigns that created visibility to our unique high-value multi-brand customer base that cannot be easily reached by mono-brand offering. Examples from the third quarter include the launch of the highly anticipated LOEWE x Spirited Away collection exclusively available on Mytheresa, which almost sold out within 12 hours. The launch of the exclusive Moncler Grenoble collection only available on Mytheresa. The launch of exclusive menswear shoe styles in collaboration with Berluti and the highly anticipated launch of the Manolo Blahnik Birkenstock collaboration and many more. Please see our investor presentation for more details on our brand collaborations in third quarter. With our impactful campaigns, we were able to excite our existing and develop new customers. We expanded our LTM active customer number by 21.6% year-over-year to 755,000. It is again noteworthy that we kept our customer acquisition costs fairly stable, compared to extraordinary low costs in the third quarter of fiscal year 2021. One main driver of the profitability of our business are the strong underlying customer KPIs. We had again very positive repurchase rates in Q3 of fiscal year 2022 for customer cohorts first acquired a year ago. Please see our investor presentation for more details on this. The average order value increased in the third quarter of fiscal year 2022. And the average spend per customer grew by 4.4% for fiscal year to date '22 in the third quarter, compared to Q3 fiscal year to date 2021. All of this drove profitable revenues from existing customers. A particular focus of our business are our top customers as they drive the almost 100% revenue retention from year 2 onwards for newly acquired customer core. Our top customer base grew by 33.3% fiscal year to date '22 in the third quarter. To engage and satisfy top customers, we have grown our team of personal shoppers around the world and particularly in the U.S. This allowed us to organize intimate top customer events around the world. Just in the third quarter of fiscal year 2022 we held events in the Middle East, Paris, Dallas, Palm Beach, London, Dublin, Hamburg, Zurich and New York. Another special service we offered to our best customers is the exclusive resale service and partnership with Vestiaire Collective. We continue to see strong traction with this service and our customers sold 3 of the items with a value of over EUR850,000 in the third quarter of fiscal year 2022. We are quite proud as a business to be so actively involved in advancing circularity in our industry. In March we expanded the service to the United Kingdom and as of summer we will also introduce the same service to our U.S. customers. We achieved high customer satisfaction as measured internally with a Net Promoter Score of 77.7% in the third quarter of fiscal year 2022. Not as high as last year due to continued global shipping delays driven by workforce shortages due to COVID. The quality of execution and health of our business has well captured our ability to grow the business globally with a strong gross margin and sector leading profitability. Martin will talk about our bottom line results in the third quarter in a few minutes. The first week of the fourth quarter fueled our confidence to remain the best partner of choice for luxury designer brands and engage with our high value multi-brand customers and for a speedy passing of the external shocks. Just of the last 4 weeks we have launched or pre-launched collections only available at Mytheresa brands such as Zimmermann, Nensi Dojaka, the 2021 winner of the LVMH prize, Dries van Noten, Dolce & Gabbana and Gucci. The Gucci pre-launch is noteworthy as it marks the arrival of the new creative director this prestigious fashion house owned by the LVMH group, and Mytheresa served as the exclusive global partner to launch the collection with a 360 degree marketing campaign, including a weekend experience on Capri to celebrate the launch. All the mentioned exclusive merchandise only shoppable at Mytheresa delivers long awaited newness and comes on top of remaining spring/summer deliveries as of mid-April. This forms an unprecedented cadence of launch campaigns that will continue well into July. As mentioned above, we will also launch in mid-May a new category on Mytheresa presenting a full range of luxury lifestyle products. The ongoing development of the war in Ukraine, as well as the COVID situation particularly in Asia makes it impossible to predict the macro-economic environment for the coming months but the luxury sector has consistently proven in the past to be the most resilient consumer sector of all. We believe we are the best partner of choice for luxury designer brands to engage with our high value multi-brand customers. We have full confidence to deliver a solid full fiscal year at the low end of our guidance. With all the above, it should come as no surprise we are overall very satisfied with our performance in the third quarter of fiscal year 2022 despite clear challenges. We believe that our results demonstrate the fundamental strength of our business model delivering profitable growth. We see ourselves as one of the few winners in the clearly consolidating luxury ecommerce space. The combination of best brand partnerships and best high value wardrobe, building customer base gives us full confidence to continue achieving outstanding results in the future. And now I hand over to Martin to discuss the financial results in detail.
Martin Beer: Thank you, Michael. I will now review the financial results for the fiscal third quarter, January to March 2022 and we'll provide additional detail on some of the key topics previously mentioned. Unless otherwise stated, all numbers refer to Euro. GMV during the quarter was EUR186.6 million a 13.2% increase from EUR164.8 million in the prior year quarter. This compares to previous year quarter that grew plus 47% to the Q3 of fiscal year 2020. Our quarterly 2-year growth rate was at a strong 67% in line with a 2-year growth rate of preceding quarters between 65% and 68%. We showed a strong performance before the start of the unpredictable external events outlined by Michael. Our GMV growth from July to December 2021 was at 28%. As a reminder, GMV is one of our key value driver, as it shows the depth and growth of our customer relationships. So despite the external factors and a tough comparable from previous year, we delivered a strong GMV due to robust new customer growth and strong existing customer cohort performance. Customer engagement and retention continued to track very well as our active customers who shop with us in the last 12 months grew by 21.6% to 755,000. On a 2 year basis LTM active customers grew by 63%. The robust 2-year growth rates in active customers and higher retention speaks to our unique positioning, attracting a highly valuable multi-brand customer and our ability to deliver excellent service. During the third quarter, net sales increased by EUR4.7 million or 2.9%. year-over-year to EUR169.5 million. Due to the onetime effect of selected brands switching from the wholesaler model to our curated platform model the net sales increase is lower than our GMV growth in the quarter. The difference in growth rates between GMV and net sale is purely a onetime financial accounting effect from brands switching from the wholesale model to the curated platform model. For the CPM brands, we can only book the platform fee as net sales. As planned in the third quarter we added total 6 brands. We have started shifting from wholesale to CPM. Most brands switching we now report the platform fee as net sales and not the GMV as the net sales. 12 months after the full transition of those brands this onetime effects will be over and that sales will grow in line with GMV again. As mentioned before we once again saw significant growth in many regions of the world in the third quarter except for Europe, which was impacted by the Ukraine war. The US remains a tough growth region with 42% GMV growth compared to the prior year quarter. Mainland China grew by 26%. Our total orders shipped in the last 4 months increased by 23.1% to 1.7 million. Gross profits of EUR82.8 million increased by EUR10.4 million or 14.4% year over year, even stronger than our GMV growth. The gross profit margin of 48.8% improved by 490 basis points compared to the prior year period of 43.9%, driven by our growing share of CPM revenues and a higher share of countries with prepaid duties charged to the customer as for example, in the U.S. In these countries, our prepaid custom duties are reflected in the prices. Out of the 490 basis points increase, 290 basis points originate from the CPM effect and 200 basis points from the higher share of GDP countries. The underlying merchandise gross margin remained stable, reflecting the ongoing focus on full price, fully consistent with the high-end position of Mytheresa. Our consistently strong gross profit margin reflects the unique high-end positioning of Mytheresa. Shipping and payment costs grew by EUR5.9 million to EUR25.1 million, driven by an increase in total orders shipped. As a percentage of GMV, shipping and payment costs in this quarter increased to 13.5% from 11.7% in the prior year quarter. This increase of 180 basis points is mostly driven by an increasing share of countries where we pay all the customs duties for the customer such as the U.S. As mentioned before, the payment of these duties is reflected on our prices and therefore, increase our gross profit margin in respective countries in the same amount. If you exclude the DDP costs, the shipping and payment cost ratio in relation to GMV was stable at 8.8% versus 8.7% in the previous year quarter. Despite increasing internationalization and cost pressure on logistics, we were able to keep this ratio stable. During the third quarter, marketing expenses increased to EUR23.3 million compared to EUR22.1 million in the prior year quarter, primarily due to the increase in number of our customers acquired. As a percentage of GMV, marketing expenses decreased to 12.5% from 13.4%. We were again able to attract new customers at competitive costs and had a strong existing customer cohort performance. And given the external factors in the quarter, we aligned our marketing activities accordingly. Adjusted selling, general and administrative expenses grew by EUR4.1 million or 20.3% to EUR24.3 million. Adjusted SG&A expenses as a percentage of GMV increased modestly to 13% from 12.3% due to the short-term less strong top line growth driven by multiple unprecedented external factors in the quarter. Around 80% of our SG&A expenses are personal expenses as we provide most services in-house and it shows our core competencies ourselves along the value chain. Personal expenses increased with number achieved especially in our warehouse shipping and customer care executives and are in line with expected GMV growth. Adjusted EBITDA was EUR10.2 million as compared to EUR11.1 million in the prior year quarter. The adjusted EBITDA margin was at 6% compared to 6.8% in the previous year quarter. And this is quite remarkable despite the external factors affecting top line in the quarter at a very short notice the strong 6% adjusted EBITDA margin shows the resilience of our business model. We continue to deliver an industry leading performance on top and bottom line. Depreciation and amortization expenses were relatively stable at EUR2.3 million compared to the prior year period at EUR2 million. The resilience and flexibility of our business model is also visible on operating income level for the third quarter of fiscal 2022 Mytheresa reported an adjusted operating income of EUR8 million compared to EUR9.1 million in the previous year quarter. Despite the top line effects, our adjusted operating income or EBIT margin in this quarter is at 4.7%, only 80 basis points lower than in the previous year quarter. Adjusted net income in this quarter was EUR5.6 million as compared to EUR4.5 million in the prior year period. Also on adjusted net income level, we have generated a multiyear track record of continued and resilient performance. We continue to focus on delivering profitable growth, which is clearly visible on our very simple and transparent P&L. EBITDA, adjusted EBITDA, adjusted operating income and adjusted net income are non-IFRS measures. Moving to the cash flow statement. During the 9 months ended March 31, '22, operating activities generated EUR22.9 million positive operating cash flow driven by a decrease in owned inventories due to brand switching to CPM, which means the deliveries were in our warehouse, but not in our balance sheet. Wholesale and CPM combined inventory at the end of this quarter increased in line with our expected GMV growth in the next quarters. In the quarter, we had again a net increase in cash and cash equivalents. With a strong cash flow from operating activities and after taxes, CapEx and finance, cash and cash equivalents increased by EUR16.8 million during the 9 months ended March 31, 2022. The positive operating and free cash flow underscores that Mytheresa operates a superior capital-light model. We ended the quarter in a strong financial position with cash and cash equivalents of EUR93.5 million and total unused availability under the revolving credit facilities of EUR60 million as of March 31, 2022. Given our solid cash position, we reduced our committed revolving credit lines from EUR90 million to EUR60 million to reduce interest expenses. Given our Q3 results, the increasing performance visible in the first weeks of Q4, we expect to achieve our full fiscal year guidance at the low end of the given ranges. Our fiscal year '22 will end in June '22. Our guidance for fiscal year '22 was GMV in the range of EUR755 million to EUR775 million, representing 23% to 26% growth. Net sales guidance in the range of EUR700 million to EUR720 million, representing 14% to 18% growth. Gross profit at EUR350 million to EUR365 million, representing 22% to 27% growth and finally, adjusted EBITDA in the range of EUR64 million to EUR71 million and an adjusted EBITDA margin of 9% to 10%. This is our maintained guidance for fiscal year '22 and now with the fiscal year coming to an end, we expect to achieve our guidance at the low end of the given ranges. We are very satisfied with our performance during the third quarter despite the external shocks, and we see an increase in performance in the last weeks. We are very proud to target an overall performance level for the full fiscal year on top and bottom line that is very strong and unparalleled in the industry. We confirm our guidance of a positive free cash flow for the full fiscal year 2022 and therefore, target positive operating and free cash flow conversion. To finish, let me talk a bit about our medium and long-term targets. As laid out in our investor presentation, we target annual GMV and net sales growth of 22% to 25% medium term. We expect to double the GMV achieved in fiscal year '21 already in fiscal year '24. Adjusted EBITDA will also grow 22% to 25% per year in the medium term with a stable adjusted EBITDA margin around 9% to 10%. In the long term and with a higher share of existing customers in our GMV, we will be able to reduce our current 13% marketing spend of GMV substantially and position ourselves for higher adjusted EBITDA profitability level longer term. I will now turn the call back over to Michael for his concluding remarks.
Michael Kliger: Thank you, Martin. We are overall very pleased with the third quarter earnings results as we continue to grow profitably. We see ourselves perfectly positioned to take advantage of the ongoing shift to online and luxury spend, the continued consolidation and distribution platforms and the global expansion opportunities. We are confident that Mytheresa offers high-value consumers the best multi-brand digital shopping experience there is and with that, I'd like to ask the operator to open up for your questions.
Operator:  Our first question today comes from Matthew Boss from JPMorgan.
Matthew Boss: So Michael, your 2-year GMV growth this quarter matched the second quarter came in 500 basis points above your target model that's despite exposure to both Eastern Europe and China. I guess what have you seen that gives you confidence in the continued resiliency of your customer in the luxury category? And then can you just elaborate on regional performance that you've seen in the past few weeks that drives your view for the speedy passing of the external shocks?
Michael Kliger: What are the observations? I mean, number one, of course, we have the privilege of already knowing how the first weeks of the fourth quarter are developing. And when you look to our numbers, the U.S. continued a very strong trajectory, also Mainland China, despite the quite harsh lockdowns that, of course, hit them further from March into April. It is and was really Europe and in the regional breakout that is in the Q3 that can also be observed. We are strong in Europe that defines, of course, also the opportunity in other geographies. But at the moment, this is where most of our business sits at the end of February when the business broke out, there was a scenario of angst in these regions. And while our customers are what I would say, quite resilient to inflation to recession being at the top of the pyramid in terms of wealth and income that did put them into a scale. But the shift back to vacationing, the shift back to going out that continued in the US, it's also coming back in Europe, and that gives us confidence. And the second level of confidence is what Martin explained, we have a business model that can adapt to even sudden shifts in demand and still produce the profitability. We have a very high share of variable costs and for weeks, we're actually enough to react to that and with more reaction, so we are confident. We don't need more of these test scenarios, but we are very confident in our business model and demand continues to come back as the world hopefully and permanently comes back to normal.
Matthew Boss: And then a follow-up for Martin on the profitability side. For gross margin, could you just speak to the stability of the underlying merchandise margin that you continue to see as you continue to grow market share? Any change to full price selling or just any dynamics, internal or external in the competitive landscape to consider as we build out the fourth quarter gross margin and go forward?
Martin Beer: As Michael said, I mean our focus is really on full price selling. So we target for a customer that values the unique positioning of Mytheresa and not a discount-driven proposition. And therefore, also in this quarter, the underlying merchandise gross margin was very stable despite the challenges. So we stay true on our focus on full price. And that stability, we will not give up and the stability continued in Q4 and obviously, will lead us through fiscal year '23 and further on. It's an inherent element in our value proposition.
Operator: Our next question comes from Michael Binetti from Credit Suisse.
Michael Binetti: A couple for you to help us look ahead. Can you help us understand how much -- you made some comment that the U.S. GMV trend was continuing in the fourth quarter. I think you said it was about 42% GMV growth in the U.S. in the third quarter. Is that about the right level? Is that what you're speaking to on a year-over-year basis. And it looks like as you broke down the gross margin in the third quarter, the big influences where the percent of sales to -- CPM, I guess, to total GMV. Should we expect that same impact to gross margin in the fourth quarter that you pointed to since that seems to be the most influential driver.
Michael Kliger: I'll take the top line question, GMV question, and Martin can comment on the gross margin projection. Yes, the 42% was referring to Q3. And in terms of Q4 performance, as I mentioned, one of the main issues in Q3 was obviously in Europe, and we see that passing based also on the first weeks of trading. So we believe we can come back to our global growth level more evenly across the geographies, and that drives our confidence to deliver a strong Q4 and achieve the guidance at the lower range. So that's the commentary on GMV. And Martin, maybe you take the margin question, gross margin question.
Martin Beer: Yes. Definitely, the underlying forces for increased gross profit margin are also valid in Q4. The magnitude, obviously, there's a lot of financial IFRS effects in there in addition. But the 2 callouts that we had, the growing share of CPM revenues and the higher share of countries where we deliver duties paid will also affect the gross profit margin of Q4. So those 2 drivers will also be driving the gross profit margin up in Q4. For the magnitude, I mean, the 490 basis point was quite strong in Q3, but it will be a significant increase, yes.
Michael Binetti: And then I wonder if I could add one. You noted that lower marketing expense as a percent of GMV was an opportunity longer term. What is it -- you were pretty specific that you see that in the longer term. What is it that influences the timing of achieving that? And I wonder how much progress you think you could make on that in fiscal '23, for example.
Michael Kliger: That's a very good question because it is very specific. We can actually answer it quite specifically. This is driven by the share of business from existing customers versus share of business from new customers. Our online marketing spend, which accounts for the majority of our marketing spend is really to acquire new customers, to bring them on to the platform. We have then many other levers and vehicles to retain them, to drive loyalty. So as more of the business is from existing customers because of the high cohort retention, naturally every year, there is the share of existing businesses increases. But also, of course, as we drive wallet penetration, as we drive category sale to existing customers, the need to drive total revenue from new customer increases becomes less. This is not the attention. We want to drive revenues from new customers as hard as we can, but existing business will slowly get bigger and bigger and therefore, the share of the online spend for new customers will be diluted and that is really driving this.
Operator: Our next question comes from Oliver Chen from Cowen.
Unidentified Analyst: This is Jonna for Oliver. Just curious on the active customer growth. Was it a little bit slower than you expected, we are lapping difficult comparisons from last year, but just wanted to get your thoughts around how you're thinking about active customer growth going forward? And any color around China will be helpful. I know you're seeing more positive trends, but any additional color will be helpful.
Michael Kliger: Let me start with the second one. This is where predictions are very tough at the moment. The zero tolerance policy of the Chinese government, of course, requires quite harsh lockdowns and we have seen that first in Shenzhen, Shanghai and then Beijing. And under this logic, public life really shuts down. So of course, China is a vast market, but markets like Beijing, Shanghai are a big driver for fashion sales. So we are absolutely optimistic on the future of the Chinese market, particularly for us as we focus on wardrobe building and because we see the Chinese consumer is more and more maturing and the share of just "buying" accessories, bags and shoes versus also buying wardrobe is going our way. But short term, it is almost impossible how the spread of COVID and the necessity for sort of strict lockdowns develops. So it remains to be seen short term but takes nothing away from the medium to long term. And again, Q3, we saw good growth in Mainland China despite these challenges. On the more general question of active customer growth, yes, I mean the 2-year growth rate is showing -- shows good momentum in active customer growth, but we would have seen an even better number if we did not face the challenges in Europe. So clearly, with less headwind, we could and will produce an even better active customer growth. But the very strong results of business from our existing customers, particularly our top customers shows that we always can rely on our existing customer base, and then we will have to weather sometimes these headwinds driven by external factors, but we will continue to grow because this is the market share gain that we can clearly see against some not so strong competitors at the moment.
Unidentified Analyst: And just one follow-up. How are you thinking about the return rate as we continue to see a rebound in social events in the US? Do you expect it to pick up in the fourth quarter and the year end?
Michael Kliger: Did you speak about the return to social life or it's specifically return rate…
Unidentified Analyst: Return rates, yes, to the business, yes.
Michael Kliger: I think the US was leading the way out of the pandemic. We have seen the strong trend in the US for some quarters now. And we continue to see even in Q3, despite the challenge of somewhere else, good business. and good business in a sense, constant expansion. And yes, there are some strong local competitors, but our unique positioning and we see -- as we see everywhere else, when we drop capsules, when we drop exclusive, which you can't buy anywhere else, except for Mytheresa, this is how we get these customers that are constantly looking for newness and are willing to spend as long as it is a special item, in particular in the US, there is enormous willingness and ability to spend as long as you're assured that this is a unique piece. And so the return to us, if you ask for that, I mean there was an article recently put out. I mean everything you missed in Barneys, Mytheresa has it.
Operator: Our next question comes from Kunal Madhukar from UBS.
Kunal Madhukar: A couple if I could. One on AOV, can you talk about AOV trends in the third quarter and how you expect it to trend in the fourth? And then I think there has been a number of questions on gross margins, especially with regard to the guide. So to get to the low end of the guide, on the gross margin side, we probably need to model a Q-over-Q a significant decline in like the benefit that you are seeing from the CPM model. Is it the CPM model or the underlying 1P where we should see a decline on a Q-over-Q basis?
Michael Kliger: I think, Martin, you should take the question on the gross margin versus gross profit. I think that's very important to clarify.
Martin Beer: We can start with that, Kunal. There is no decline in the underlying gross margin profitability considered in Q4 and therefore, in the overall full fiscal year. So as we guide towards the lower end -- at the lower end of our ranges the profitability is exactly as we guide it and we upgraded our guidance in Q2. So the logic of the CPM being -- resulting in a very comparable profitable stays exactly the same. So the CPM and when we have it now for a couple of quarters shows the exact results as we planned. So there's no surprise in the CPM and the gross profit in absolute terms and the gross profit margin is in line with our overall guidance, what we always had. And also maybe on the AOV, you saw that we now in Q3, LTM AOV grew, is now at EUR617 million LTM versus the EUR588 million in the previous year. And that shows, again, our focus on full price and also our strong existing customer cohort behavior. As Michael outlined, the strong growth in top customers of 33% year-to-date is also then reflected in the high AOV, and that is in line with the last quarters with the continued strength and growth in AOVs.
Operator: Our next question comes from Geoffroy De Mendez from Bank of America.
Geoffroy De Mendez: I have three of them. So just the first one, going back to your guidance for the full year. So if you're doing 23% GMV growth, I think it means that Q4 has to reaccelerate to something like 25% from 13% in Q3. So I suppose there is an element of the comp base, which is a little bit easier, but are you seeing underlying performance getting better in all regions? I think you said the U.S. was still very good. Is it fair to assume Europe also accelerating after Q3. So that's the first question. Then the second one is on the CPM. I was wondering if you could give us an update on how much it is as a percentage of GMV and where you see that number going in fiscal year 2023. And then the last thing is on your comments on the new category that you're starting for lifestyle, if you could give us any insights into what types of product that would be exactly like -- things like AOV and why exactly you're going after new categories?
Michael Kliger: Let me take questions one and three. So yes, you're absolutely right. Mathematically, we are looking at an acceleration in Q4 and the first weeks of Q4 give us exactly that confidence of an acceleration from where we were in Q3. So absolutely right. On Q3, on your third question, why are we going there? Our intention and also the desire from our customer is that we serve them as best as we can in all their, let's call them, luxury needs. This is why we started the resale service with Vestiaire Collective. This is why at the pop-up level, we have looked at beauty, particularly skin care. And this is where we got a lot of comment and requests from customers to expand the fashion offer that we have and people that like to wear beautiful things tend to also like to live with beautiful things into lifestyle products. There is -- as always, there are certain elements that regardless of the category, we take along. So number one, curation and editing. Also lifestyle products, there's an enormous offer out there, and we serve our customers with this added through multi-brand. Number 2, we focus on the high end. So this is not to sell products with item value of $50. But of course, this is to focus on the high end and so we are looking at product ranges -- price ranges in terms of products from 250 to 1,500. So totally taking the Mytheresa qualities, bring them to an adjacent category, which has many fashion brands, but we will also carry brands that today are not on our website to really serve this lifestyle product category. And we're looking forward to it because it's all based on implicit customer demand that we have encountered in our research and in our customer focus groups. Martin, you take question two.
Martin Beer: And then maybe also in addition, Geoffroy, on your question one, mathematically, the lower end of our full fiscal year guided range will lead Q4 at a 22.7% increase in Q4 GMV. Yes, the CPM share, as always, we're not giving the share of the CPM model in our GMV because then you could back out the platform fee, and this is very sensitive information and so we are seeing the positive effects of the CPM in our business model now offering both models to brands. We will see that an increasing share in fiscal year '23. As we said last time, we think that we have about now half of the brands that will switch. And therefore, fiscal year '23 will also be a transition year and then from fiscal year '24, then the growth will continue.
Operator: Our next question comes from Abhinav Sinha from Societe Generale.
Abhinav Sinha: A couple of questions from my side. So we saw that in Q3, you had some supply chain challenges because of which the revenue growth slowed down. But now that it's fixed, can we expect more like a surprise in Q4 and if that's the case, then why do you guide at the lower end of your target for FY '22? The second question is on CPM. So I know that you don't give precise data. But initially, when you had introduced the model, the target was less than 20% for FY '22. So like any hint on whether you are tracking that or is it like way behind that?
Michael Kliger: So I think on the first question, just to be precise, what we saw in Q3 and what we discussed last time was a shift of deliveries, a delay stemming back to production issues in Europe in November and December. But then, of course, fundamental external shocks that drove it. And so we are clearly looking at an acceleration, as Martin just described. That acceleration drives our confidence in delivering the guidance at the low end of the range. In terms of CPM, maybe, Martin, do you want to take that?
Martin Beer: Yes, the CPM, there's no change Abhinav from what we said in the last quarter. So we see great traction from the brands shifting to the CPM and also great satisfaction on their side. So it's a clear win-win model. And the overall target of well below 20% of the full fiscal year, we will continue to target and we will see that. So there's no change in the CPM traction or change in the CPM ramp-up because it's a well-tuned process where both sides have to work on the supply chain integration on the IT. So everything is as expected. So there's no change.
Abhinav Sinha: And just to be clear, like in terms of IT, the CapEx is from the partner side, not from my Mytheresa side, right?
Michael Kliger: I mean the work is needed on both sides. We do most of the work, but OpEx or IT. So the brands, we have now 6 brands like with CPM. All the IT we needed for that is fully reflected in our P&L.
Operator: We have a follow-up question from Michael Binetti from Credit Suisse.
Michael Binetti: Most of my questions have been answered, I apologize for jumping back in. But on that point, since the CPM model does influence the profitability on the different lines so much. Would you mind just updating us on the 6 brands that you have in today, you said about -- I think you said about half of the ones that in total wants to be on the CPM model. Is the next round of brands, the same magnitude as the ones in the model already today so that we can try to think about rolling forward some of those profitability metrics.
Michael Kliger: Yes, happy to address it. Yes, roughly, we are -- again, we estimate how many brands will in the end join the CPM model, but roughly half of what we believe at the moment. But those that started now are bigger ones. So you can expect that the additional volumes that will come on to this -- to the CPM model will be not of the size that we have seen so far.
Michael Binetti: And then I think you said in the prepared remarks that you saw growth was driven by consumer demand, not promotional intensity, which you have seen break out in some markets with some players recently. Would you mind just fine-tuning what you're seeing with that comment, please?
Michael Kliger: We have seen some quite aggressive pricing in Korea over the last couple of weeks, and we have seen some early starts of sale in the US, which compared to the pandemic phase the market is early. It's kind of, for those examples I quoted coming back to some of the characteristics that we saw before the pandemic. So this is nothing we are not used to. This is what we have to deal with. The pandemic luckily or fortunately created a pause in some of these tactics, but we see it that it is slowly -- it seems at least that it is slowly coming back for some players.
Michael Binetti: Has that impacted the underlying assumption you've made for promotional levels in fourth quarter as you've seen the competitive set change at all?
Michael Kliger: No. I mean we observed this, but this does not change our stance on promotional intensity and our margin stability is now I think in its fifth year on product margin. So regardless of the environment, we continue to drive our business and particularly drive our customer base with exclusive merchandise with special products, and this will not be changed.
Operator: We have no further questions. So today's call has now concluded. We'd like to thank you for your participation. You may now disconnect your lines. Thank you.